Operator: Hello, and welcome to the Vasta Platform second quarter 2023 financial results. My name is Krista, and I'll be the conference operator today. During today's presentation, our executives will make a forward-looking statement. Forward-looking statements generally relate to future events or future financial or operating performance and involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those contemplated by these forward-looking statements. Forward-looking statements in this presentation include, but are not limited to, statements related to our business and financial performance, expectations for future periods, our expectations regarding our strategic product initiatives and their related benefits and our expectations regarding the market. Forward-looking statements are based on our management's beliefs and assumptions and on information currently available to our management. These risks include those set forth in the press release that we are issuing today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us as of today. You should not rely on them as predictions of the future events, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, management may reference non-IFRS financial measures on this call. The non-IFRS financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with IFRS. I will now turn the call over to Marcelo Werneck, Investor Relations. You may begin.
Marcelo Werneck: Good evening, everyone. Thank you for joining us in this conference call to discuss Vasta Platform's second quarter of 2023 Results. I am Marcelo Werneck, Vasta's Investor Relations. And today with me, we have the presence of Guilherme Melega, Vasta's CEO and Cesar Silva, Vasta's CFO, will be joining me on the call. During this call will cover key highlights, financial insights and strategic developments that have shaped our performance in the 2023 cycle to date. We'll also leave plenty of time for your questions at the end of this presentation. Let me now hand over the floor to Guilherme Melega, our CEO, to make his opening statement.
Guilherme Melega: Thank you, Marcelo. Thank you all for participating in our earnings release call. I'd like to cover Slide number three with some highlights of the 2023 cycle to date. As we approach the end of the current cycle, we are pleased to report that in 2023, cycle to date, our net revenue had a substantial growth of 22% and reached BRL1.179 billion. Moreover, our accumulated subscription revenue during the 2023 cycle to date has reached BRL1.12 billion, representing an 18.5% increase compared to the previous year. This growth closely aligns with the 20% growth projected by our 2023 ACV, indicating that Vasta has truly evolved into a robust platform with consistent and recurring revenue. Notably, our complementary solution segment continues to stand out, showcasing the highest growth rate among our business segments with a remarkable 45% increase in the current cycle compared to the previous cycle. In 2023, Vasta made a significant stride by expanding its product and service offering to the Brazilian public sector, B2G. During the second quarter of 2023, we generated BRL4 million in revenue from the B2G sector. Moving to the company's profitability. In the 2023 cycle to date, our adjusted EBITDA experienced a growth of 19%, reaching BRL372 million, while maintaining an adjusted EBITDA margin close to the 32%. Finally, we continue to see the normalization of our company's cash flow generation. In the 2023 cycle to date, our free cash flow reached BRL87 million, 131% increase from the BRL37 million recorded in 2022 cycle. It represents BRL50 million improvement in the free cash flow generation between the cycles. It's worth noting that our last 12 months free cash flow to adjusted EBITDA conversion rate was seeing significant improvement, rising from 11% to 26%. This progress is a direct outcome of our company's growth and unwavering commitment to operational efficiency. I will now turn back to Marcelo, who will talk about the financial results of the 2023 cycle to date.
Marcelo Werneck: Thank you, Melega. In this slide, we present the composition of Vasta's net revenue. On the left side, you can observe the significant organic year-on-year growth in the total net revenue for the second quarter, which increased by 43%, reaching BRL271 million. Shifting our focus to the right side, let's detail the key components of this revenue growth. Firstly, subscription revenue had a substantial increase of 21%. Excluding par, our subscription revenue experienced even higher growth of 24.5% year-on-year. This expansion is a result of good quality of revenue mix achieved in the 2023 ACV. Moreover, we are delighted to share that in 2023, Vasta achieved a significant milestone by expanding its product and service offering to the Brazilian public sector. During the second quarter of 2023, we successfully generated $40 million in revenue from the B2G sector. We will provide more details in the upcoming section of this presentation. Non-subscription revenue increased by 23%, primarily driven by the introduction of a new revenue stream from our flagship school Start-Anglo. Moving to Slide number 5. We analyze the net revenue for the 2023 commercial cycle to date. In 2023, we achieved an organic net revenue growth of 22%, amounting to BRL1.179 billion. Continuing from the left to the right, our total subscription revenue experienced a strong growth, increased by 18.5% on an organic basis. Subscription revenue, excluding PAR, saw an increase of 22.4%, reaching BRL911 million. PAR revenue declined by 7.8% amounting to BRL101 million. Subscription revenue continues the major contributor to our total revenue, representing a significant 86% share while non-subscription revenue now comprises only 11% of the total revenue. Furthermore, our successful expansion with the Brazilian public sector has yield promising results, contributing to 3% of our overall revenue in the cycle to date. Moving to Slide number 6. In this quarter, our adjusted EBITDA amounted to BRL41 million with a margin of 15%. This positive performance can be attributed to several factors, including strong sales results, cost dilution and operational efficiencies. Turning our attention to the right side of the slide, the adjusted EBITDA for the 2023 cycle to date exhibit a strong growth, increasing by 19% to reach BRL372 million with a margin of 31.6%. These results are evidence that Vasta's operational efficiency and financial performance are now operating at a much higher level, aligning closely with the company's potential for sustainable growth. In the upcoming slides, we'll see the breakdown of the components contributing to the adjusted EBITDA margin. In Slide number 7, the EBITDA margin showed a slight decrease of 70 basis points compared to the last cycle to date from 32.3% to 31.6%. This decrease can be mainly attributed to two factors: provisions for doubtful accounts PDA made in the fourth quarter of 2022, resulting from a large retail in bankruptcy proceeds in Brazil and higher inventory costs due to the rising global inflation in paper and production expenses affecting our gross margin in the current cycle. Despite this challenge, there are several positive aspects to highlight. First, we mean to offset the impact of these increases through significant operational efficiency gains and cost saving measures. This shows our resilience and adaptability in navigating through market fluctuation. Furthermore, our improved product mix, fueled by the growth of our subscription products has played a crucial role in mitigating the effects of the mentioned factors. It's also worth noting that as a percentage of net revenue, our commercial expenses demonstrated an improvement of 40 basis points, indicating greater cost effectiveness in our sales and marketing efforts. Additionally, our adjusted G&A expenses improved by 210 basis points, showing a prudent financial management. Overall, while facing certain challenges in the current cycle, we remain focused on leveraging our strengths and implementing strategic measures to optimize the performance. The positive developments in operational efficiencies and cost management, coupled with the growth of our subscription products reflect our commitment to drive sustainable value for our companies and shareholders. Moving to Slide number 8. The adjusted net loss in the second quarter of 2023 amounted to BRL32 million, representing a 24% increase compared to the same period in 2022 when we recorded an adjusted net loss of BRL42 million. While finance costs in a scenario of a spike in interest rates continue to impact our bottom line, we have remained commitments to deleverage by reducing our net debt and improving our net debt position as you see further in this presentation. Moreover, it's important to highlight that our adjusted net profit in the 2023 cycle to date has had an improvement, increasing by 6% compared to the same period in the 2022 cycle, reaching now BRL66 million. Moving to Slide 9, we show the free cash flow evolution. We continue to observe the normalization of the company's cash flow generation. In the second quarter of 2023, the free cash flow totaled BRL94 million, representing an 8.4% decrease compared to BRL103 million in the second quarter of 2022. Moreover, to the right side, in the 2023 cycle to date, our free cash flow reached BRL87 million, marking our remarkable 132% increase from the BRL37 million recorded in the 2022 cycle. It's worth noting that our last 12 months free cash flow to adjusted EBITDA conversion rates has seen an improvement rising from 11% to 26%. This progress is a direct outcome of our company's robust growth and commitment to operational efficiency, reinforcing the message that cash generation continues to be a key area of focus of our business. Moving to Slide number 10. I will give you more details on the provision for doubtful accounts. Reported provisions for doubtful accounts PDA saw a substantial reduction when comparing the quarters, decreasing from 1.9% of net revenue in the second quarter of 2022 to 0.4% in the second quarter of 2023. However, it's important to note that this quarter results were positively impacted by a partial recovery of a retail provision. If you exclude this effect, the normalized PDA for the quarter should have been 2.5% of net revenue, which is more in line with the typical course of our business. Moving to the right side of the slide, we can observe the PDA for the 2023 cycle to date. Reported provision for doubtful accounts increased by 100 basis points between the comparable commercial cycles. This increase in PDA is still influenced by the one-off provisioning of accounts receivable from the large retail Brazilian company mentioned earlier. If we exclude this factor, the participation of PDA in relation to Vasta's net revenue remained stable, accounting to 2.6% in the 2023 commercial cycle compared to 2.4% in the 2022 commercial cycle. Moving to the next slide, we observed that the average payment terms of Vasta's accounts receivable portfolio was 149 days in the second quarter of 2023, which is 50 days lower than the first quarter of this year and aligned with the seasonality of our business. I will now conclude my part presentation with Slide 12. As of the end of the second quarter of 2023, Vasta achieved a reduction in net debt, which amounts to BRL1.15 billion, showcasing an improvement of BRL27 million compared to the net debt position in the first quarter. This achievement is attributed to the positive cash flow generated during the period, which not only suppressed the impact of interest accrual and M&A outflows. On the right side of the slide, we can observe that as of the second quarter of 2023, the net debt by the last 12 months adjusted EBITDA ratio stands at 2.57 times, which marks an improvement of 0.28x compared to the first quarter of 2023 and an improvement of 0.5 times when compared to the second quarter of 2022. The reduction in net debt and by lowering the net debt by the last 12 months adjusted EBITDA ratio showcase our commitment to good financial management and sustainable growth. By continuous in striving to reduce our net debt, we can enhance our financial flexibility, lower interest costs and enable us to navigate any economic challenge more effectively, ensuring a more prosperous future for Vasta. With that being said, I pass the words to our CEO, Guilherme Melega, who will give more details about some growth initiatives.
Guilherme Melega: Thank you, Marcelo. Let me now provide a recap on Slide 14 into a new segment, the public sector or B2G. In 2023, Vasta took a major step forward by expanding its products and service offerings to the Brazilian public sector. In terms of market size, as illustrated in the graph on the left, the total K-12 sector in Brazil comprises more than BRL39 million according to the latest census, among this total, 83% are students from the public sector, while only 17 are students enrolled in the private sector. Entering the public sector presents an opportunity for capturing positive financial results. The total addressable market TAM for the public sector amounts to more than BRL406 billion. And based on our initial assessment, considering prioritization areas, penetration capacity and market share, we estimate a prioritized serviceable addressable market of BRL1.9 billion. Regarding our go-to-market strategy, our target audience consists of states and large municipalities, especially those with low results in the IDEB, which is the aim of improving the quality of education for these students. To lead this segment effectively, we have appointed a new dedicated business director and tailor it an attractive portfolio of products and services, always leveraging from our current portfolio. In parallel, we are establishing a robust framework of corporate governance, which includes the diligence compliance team, continuous training of our team members and a rigorous audit process. This commitment to corporate governance ensures that we maintain the highest standards and uphold the trust our stakeholders place in us. Regarding the Q2 results, we are delighted to have secured an opportunity contract aimed at enhancing via discourse. IDEB is a crucial national assessment that measures the quality of basic education and plays a vital role in identifying areas that need improvement to foster education development. Our program focused on developing core skills in Portuguese and mathematics, laying a strong foundation for students' academic growth. We have successfully captured BRL40.5 million of this contract in Q2. This is a testament of our capability in securing strategic partnerships and delivering tangible results. We are immensely proud to have the opportunity to contribute to the improvement of education in the public sector, making a positive impact on such a large scale is at the heart of our mission, and this project aligns perfectly with our commitment to driving education and progress in Brazil. By collaborating with educational institutions and governments, we aim to create lasting improvements in the quality of education, empowering students to reach their full potential and fostering a brighter future for our society as well. Moving to Slide number 15, let me give you some update on the Start-Anglo. In the first quarter of 2023, we took a significant step by acquiring a 51% stake in Escola Start, a renowned school located in Sao Jose do Rio Preto, Sao Paulo state. Start will serve as our flagship school, marking our entry into the bilingual franchise business. This strategic move combines academic excellence powered by our premium brand, Anglo, with bilingual education and innovation. The launch of Start-Anglo represents an opportunity of synergy, enabling us to leverage existing products and expertise to minimize CapEx while maximizing know-how. This integration allows us to offer a compelling and competitive educational solution to the market. We are delighted to announce that our efforts have already borne fruit as we have successfully signed our initial contracts. This achievement means that the first franchise schools will be fully operational by 2024. Our foray into the bilingual franchising business demonstrates our commitment to innovation and diversification by offering higher quality education and leverage our strong brand presence. As we move forward, we will continue to build on this momentum, expanding our franchise network and enriching the landscape in Brazil. We are excited with all this prospects of making a positive impact on even more students, fostering academic excellence and bilingual proficiency while driving the growth of our brands and companies. Now moving to the last slide, Slide 16, ESG. As you know, Vasta reports updates about the ESG standards, including a panel of key ESG indicators. The second quarter information is available in the release and all consolidated data can be found in Vasta's sustainability report. However, one topic I would like to highlight is that Vasta in 2023 through the Somos Institute took on the organization of Educador Nota 10 Award. This is the largest and most important award in public based education in Brazil. In its 25th edition, the award recognizes and values features and school administrators from early childhood education to high school. I encourage you to visit our website and learn more about this important initiative. Having said that, I finish my presentation and invite you all to the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Marcelo Santos from JP Morgan. Please go ahead. Your line is open.
Marcelo Santos: Good evening, Melega, Marcelo. Thanks for taking the questions. I have two. The first question is if you could give a bit more details on the B2G contract that you closed. Perhaps you said in the remarks, but I couldn't hear that well. So who is the buyer of that contract? Is it something like one-off? You mentioned spot? Is it something just this quarter? Or is it recurring? And what exactly did you sell? I just wanted to get a little bit more information on this first contract. And the second is kind of related, the second question. You had a strong EBITDA, especially there's a seasonally weak quarter and EBITDA was strong. Was it mostly because of this contract or there was a material improvement in the private business in the non B2G business? These are the two questions. Thank you.
Guilherme Melega: Marcelo, thanks very much for your question. Let me take the opportunity to give more color about this important contract. Our client is the State of Para. We are serving around 300,000 students, more than 4,000 teachers. And it's a contract where we provide content for the [indiscernible] CIB assessment, digital platform assessments and pedagogical support. It's mainly focused on the fifth, ninth and high school rates, focused on mathematic and Portuguese. And yes, we are considering this a spot contract, it could be recurring in the second semester, but it's on the main role of opportunistic contracts that we see a lot in the B2G market. So we do expect to have more contracts of this type in the future. Giving a little bit color about margin, I'd say we are pretty much on our running rate margin. The B2G margin is not neither enhancing or jeopardizing the current margins that we have. We are pretty much seeing the same margins on both markets with the little experience that we have so far. What we are seeing in terms of margins is actually our running rate in the cycle to date.
Marcelo Santos: Perfect. Thank you very much.
Operator: Your next question comes from the line of Lucas Nagano from Morgan Stanley. Please go ahead. Your line is open.
Lucas Nagano: Good evening. Thanks for taking our questions. We have two questions. The first one is related to the 2024 sales cycle. Can you comment a little bit on the progress so far and give some color on the churn rate, intake process and how much you expect to readjust on prices? And the second one is related to -- just a follow-up on margins. Can you comment how was the effect of the higher prices for paper on this quarter because you mentioned that you are on the running rate. So does it mean that you're not seeing any impact on paper costs? Thank you.
Guilherme Melega: Hi, Lucas. Thanks for your questions. Let me update about 2024 sales cycle. We just ended the first half of the cycle, which normally accounts for 30% of the total cycle, and we are very excited about the results. We are seeing improvement year-over-year, a significant improvement, either in new schools intakes and lower churn. But again, this is an initial perspective. We have the second semester which accounts for 70% of the 2024 cycle. So far, so good, and we are confident about the second half. Regarding margins, let me give you margins and prices. Let me give you more color on that. What I mentioned regarding margins, and we have a slide on the presentation is that considering the cost increases that we faced this year with paper and printing and the gross margin shows that we are some points behind the last cycle. This is the new running rate that we have for the company. We have more cost pressure on the cog side. And prices for next cycle we expect to recover those points above inflation because we definitely face it will be a cost-based price adjustment due to the cost that you can see that we had on our P&L.
Operator: [Operator Instructions] Your next question comes from the line of Marcelo Santos from JP Morgan. Please go ahead. Your line is open.
Marcelo Santos: Hi. Thanks for the follow-up. I have two extra questions. The first, given that you're following all these public tenders that are going on, could you give us an idea like of -- like for all the tenders that are open now, what is the total value that is on the table. I believe this should be public information, but we don't have this information. So it would be very interesting if you could give us some number on how much is being offered to the market right now on all the tenders that you could participate or any information in that regard? And the second question is, you had some large nonrecurring M&A effects on your P&L this quarter. Could you give some color on those?
Guilherme Melega: Sure, Marcelo. Let me try to provide. And this will help us to expand a little bit our approach to the B2G sector. There are no public tenders open right now, at least that we are aware of. What we do is pretty much identify the opportunity to the channels that we have with the State and by tailoring the solutions, we generate the demand and then the public offer occurs. So it's a tailored solution, it's a different approach from selling standard products to the public sector. So we generate the demand, identify and tailor the demand using our current portfolio. So it's a low CapEx solution because we leverage on what we have and we identify the specific need of a State or a large municipality. So I have no figure to share with you because we are generating the demand. And once the demand is generated, it will become a public offering, and we will participate, okay? The second one is regarding M&A. Yes, we have the recognition of an earn-out. It's a onetime event regarding complementary solutions that we acquired in the past that went really well. And we recognize the last payment this quarter is a one-off payment. There is nothing else expected in the future.
Lucas Nagano: Perfect. It’s very clear. And thanks for the explanation on you go to market approach. Very interesting.
Operator: And we have no further questions in the queue at this time. Marcelo, I will turn the call back over to you.
Marcelo Werneck: Thank you all for participating on Vasta's Q2 earnings call. We believe our cycle-to-date results demonstrate the consistency of our strategy, combining growth and capital expenditure discipline. We are also very positive about 2024 ACV campaign and about the good start of the B2G business. Looking forward to seeing you on the next call. Have a great quarter. Thank you.
Operator: And this concludes today's conference, and you may now disconnect.